Operator: Good morning, ladies and gentlemen. Welcome to the CGI's Fourth Quarter Fiscal 2024 Conference Call. I would now like to turn the meeting over to Mr. Kevin Linder, SVP of Investor Relations. Please go ahead, Mr. Linder.
Kevin Linder: Thank you, Joelle, and good morning. With me to discuss CGI's fourth quarter and fiscal 2024 results are Francois Boulanger, our President and CEO; and Steve Perron, Executive Vice President and CFO. This call is being broadcast on cgi.com and recorded live at 9:00 A.M. Eastern Time on Wednesday, November 6, 2024. Supplemental slides as well as the press release we issued earlier this morning are available for download along with our fiscal 2024 MD&A, audited financial statements and accompanying notes, all of which have been filed with both SEDAR+ and EDGAR. Please note that some statements made on the call may be forward-looking. Actual events or results may differ materially from those expressed or implied and CGI disclaims any intent or obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. The complete Safe Harbor statement is available in both our MD&A and press release as well as on cgi.com. We recommend our investors read it in its entirety. We are reporting our financial results in accordance with International Financial Reporting Standards or IFRS. As always, we will also discuss non-GAAP performance measures, which should be viewed as supplemental. The MD&A contains definitions of each one used in our reporting. All of the dollar figures expressed on this call are Canadian, unless otherwise noted. I'll now turn it over to Steve to review our Q4 financials and then Francois will comment on our full year performance and business and market outlook. Steve?
Steve Perron: Thank you, Kevin, and good morning, everyone. CGI once again delivered strong results in our fourth quarter of fiscal 2024 in what continued to be a dynamic and challenging macro environment. In Q4, we delivered $3.7 billion of revenue, up 4.4% year-over-year or up 2% when excluding the impact of foreign exchange. The strongest CGI segments were Northwest and Central East Europe at 7.5% constant currency growth. UK and Australia at 7.2%. Asia Pacific at 6.2% and US Federal at 5%. From an industry perspective, we continue to have the highest growth in government, representing 4.7% constant currency growth this quarter. This was followed by manufacturing retail and distribution at 3.3%, driven from North America. Financial services in Europe and communications in North America remained challenged in line with the current market conditions. Our IP continued to grow at a faster pace with 3.7% constant currency growth in the quarter. As a percentage of total revenue, IP represented 22.9%, up 30 basis points year-over-year. In Q4, bookings were $3.8 billion for a book-to-bill ratio of 104%. Book-to-bill ratios were 85% for business and strategic IT consulting and system integration, given the continued softness in discretionary spending and 120% for managed services that will drive net new recurring revenue. On a trailing 12-month basis, our book-to-bill ratio was 109%. On the same basis, managed services had a book-to-bill ratio of 117% and SI&C book-to-bill ratio was 100%. Our global backlog reached $28.7 billion or 1.9 times revenue, reflecting our overall business resilience. Turning to profitability. Our performance this quarter once again demonstrated our operating discipline. Earnings before income taxes were $592 million for a margin of 16.2%, up 30 basis points year-over-year. Adjusted EBIT in the quarter was $600 million, representing a margin of 16.4%, up 10 basis points year-over-year. The increase is mainly due to one more available day to bill and savings generated from our cost optimization program. These were in part offset by prior year's adjustments for R&D tax credits in France and the impact of lower utilization within the financial services largely in Europe and communication and utilities in North America. Margins were strongest in the following segments. Asia Pacific at 28%, Canada at 22%, Finland, Poland and Baltics at 19%, US Federal at 18% and US Commercial and State Government at 16%. Our effective tax rate in the quarter was 26.4%, up from 25.7% last year, impacted by the tax credit adjustments and the increase in the UK statutory rate. We expect our tax rate for future quarters to be in the range of 25.5% to 26.5%. Net earnings were $436 million for a margin of 11.9%, up 10 basis points year-over-year. Diluted EPS was $1.91, representing an increase of 8.5% year-over-year. When excluding specific items, net earnings were $439 million. This represents a margin of 12%, stable year-over-year. On the same basis, diluted EPS was $1.92, an accretion of 7.3% when compared to Q4 last year. In the quarter, cash provided by operating activities was $629 million, representing a strong 17.2% of total revenue. DSO was 41 days in the quarter, three days better than last year. In Q4, we used our cash to invest $82 million into our business, invest $492 million for business acquisition upon the completion of the acquisition of Aeyon and repayment of this debt and invest $49 million to buy back our stock. Before the end of the quarter, we issued $750 million of public Canadian senior notes. The proceeds were used to repay existing debt as planned and for general corporate purposes. We continue to deliver a strong return on invested capital at 16%, consistent with the prior year, demonstrating our proficiency and discipline on deployment of capital. At the end of the quarter, CGI had $3 billion of cash readily available and access to more if needed. As part of our profitable growth strategy, CGI capital allocation priorities remain focused on investing back in the business and pursuing accretive acquisitions. The company also has the flexibility to use a portion of its free cash flow for the repurchase of its stock and for the distribution of dividends to further enhance value for shareholders. Yesterday, CGI's Board of Directors approved a cash dividend of $0.15 per share. This dividend is payable on December 20, 2024, to shareholder of record as of the close of business on November 20, 2024. Before turning the call over to Francois, I would like to highlight a few adjustments that were made effective October 1st. Germany is now its own segment and our operations in Scandinavia are now combined with our Northwest and Central East Europe segment. Starting next quarter, we will begin reporting on this new structure and we will provide restated historical data at that time. Now I will turn the call over to Francois to discuss the insight on the quarter and the year as well as the outlook for our business and markets. Francois?
Francois Boulanger: Thank you, Steve, and good morning, everyone. I am pleased to be here today to review the fiscal 2024 results achieved by our outstanding team around the world. I also want to recognize George Schindler, who retired as of October 1st, following a nearly 40-year career at CGI. Thank you, George, for your leadership and guiding our company over the past eight years as CEO, including the delivery of the strong results for fiscal 2024. CGI's performance for the year demonstrated our ability to execute on our plan in a dynamic market environment. Earnings expanded through a higher recurring revenue mix as well as proactive operational excellence actions. Cash from operations remain robust as a result of sustained quality delivery for clients and bookings represented 109% book-to-bill ratio for the last 12 months with every reporting segment at or above 100% ratio. With regards to revenue, growth progressively increased in the back half of the year, ending Q4 with 4.4% year-over-year growth or 2% on a constant currency basis. We also further our buy strategy by closing chill mergers, a meaningful acceleration over fiscal 2023. We began the year by merging with Miami-based Momentum Consulting to expand our digital and data offerings in our manufacturing, retail and distribution sectors. In Canada, we acquired the credit union business of Celero expanding our services to more than two-thirds of credit unions nationwide. And we acquired Aeyon and CGI Federal, deepening our digital and AI-based offerings, for national security and civilian agency clients. I would like to warmly welcome all new consultants who joined CGI from these mergers. Each year, our plans are designed to create value for all three of CGI stakeholders. This focus on seeking the best equilibrium among our clients, our consultants and our shareholders is fundamental to our strategy and planning. With this principle in mind, I will review the annual performance highlights by stakeholder starting with clients. CGI's deep and trusted client relationships remain critical to our growth agenda. Again, this year, client satisfaction was up on every dimension we measure. In fact, two of the highest rated score were related to the quality of our relationships. This includes CGI's commitment to clients as well as their intent to engage us again in the future. Both of these scores, which come from signed client assessments, were at record high levels of over 9.6 out of 10. The expertise, insights and commitment of our consultants and professionals make this high degree of client satisfaction possible. Thank you to all team members worldwide for partnering with clients to help them achieve tangible business and mission outcomes. Now turning to our consultants and professionals. CGI's culture of ownership is unique in the market and enabled us to retain and attract the best talent. This was demonstrated this year as we saw more of our consultants and professionals become CGI shareholders, increasing from 85% to 87% year-over-year. This engagement as owners is why we call our employees, CGI partners. Next, the overall satisfaction of our people increased again this year now at 8.9 out of 10. This result demonstrates the deep engagement of our CGI partners. Clients continue to cite this engagement as a key factor for why our people show up differently as an extension of their own teams. This makes a significant difference, especially as client navigate change and prioritize their business and mission goals. Lastly, the input of our people factored into multiple third-party recognitions for CGI such as rankings for best places to work in numerous countries and our inclusion on the Time Magazine World's Best Company List. And for our shareholders in fiscal 2024, we continue to proactively manage the fundamentals of our business to deepen our resilience and our capacity to create added value for shareholders. On a full year basis, constant currency growth included 7.5% growth in our Northwest and Central East Europe segment, 6.1% in Asia Pacific, 4.4% in UK and Australia. And from a services perspective, 5.2% in our IP-based revenue portfolio and 3.4% in managed services. On the profitability side, we also continued to improve on a year-over-year basis with our results continuing to place us in the top quartile of our IT services peer group. Adjusted EBIT was up 4.5% for a margin of 16.5%, up 30 basis points. Adjusted net earnings were up 5.1% for a 12% margin. Adjusted EPS was up 7.8% at $7.62. And cash generated from operations was over $2.2 billion, representing 15% of revenue. Sustained client demand for managed services and IP contributed to these strong results and also drove our total bookings. Again this year, bookings surpassed $16 billion as clients continue to turn to CGI for health and progressing their digital and innovation agendas while reducing their cost base. Second half managed services bookings were particularly strong at nearly $5.3 billion up by more than $1 billion compared to the first half of the year. This uptick was led by wins in manufacturing and government, both with second half bookings up 16% compared to H1. These larger longer-term engagements continue to require a tailored combination of our end-to-end offerings, notably for CGI's IP solutions as well as global delivery. For example, in Q4, the US Pattern and Trademark Office awarded CGI 2 monetization contracts, covering a range of security, efficiency and mission-oriented services. The projects have a total potential value of US$119 million and expand CGI's momentum IP services to help the agency foster innovation and enable economic growth. One of the world's largest manufacturers entered into an agreement with CGI to jointly launch an international development unit based in Germany to support group-wide digital projects and support their developers in line with the company's increasing demand for software performance. Through this initiative, the client aims to develop new IT systems faster and more efficiently. CGI's architects, developers and consultants will deliver services and solutions grounded in technology expertise and manufacturing knowledge to help the client accelerate business outcomes in line with their digitalization vision and strategy. The Department of Justice, Northern Ireland Courts and Tribunal Service awarded CGI a 20-year agreement to serve as business transformation delivery partner. Our consultants will help modernize the justice system and enhance efficiency and improve service access. And we entered into a new long-term agreement to transform the transaction processing function of Mackenzie Investments. This is the latest in a series of operational enhancements Mackenzie is making to further modernize and digitize its platforms and processes. As part of the new expanded relationship, Mackenzie will transition the majority of its transaction processing services for account and plan administration to CGI. This will allow Mackenzie to leverage CGI's innovative capabilities and redefining processes and integrating advanced level of intelligent automation into workflows. As a result, Mackenzie will be able to accelerate the speed, quality and efficiency of its client servicing capabilities, including faster transaction times. Looking ahead, our business plan for fiscal year 2025 includes ongoing and new investments in our end-to-end services to enable our consultants to tailor the most relevant solutions for clients. These investments are aligned to the client demand we see in our pipeline, which is up 20% on a year-over-year basis across all of our services. In managed services, we will continue to evolve our partnership models backed by CGI's financial strength to create compelling offerings. This includes embedding more AI to unlock new ways to help drive efficiency and innovation for clients. CGI's managed services remain in high demand because it enables our clients to generate cost savings, deepen agility to navigate the dynamic environment and advance the digital initiatives. For CGI, managed services deliver long-term recurring revenue, which improves our resilience through all economic cycles. For IP, we will continue to invest in our solutions portfolio to meet increasing client expectations for innovation and embedded AI functionality. In collaboration with teams around the world, we are progressing multiple generative AI proof-of-concept to address common use cases across multiple IPs, including for in-demand functionality, such as recommendations on next best actions. Our IP value proposition provides clients with digital accelerators with lower capital costs. For CGI, IP provides recurring revenue with a higher margin profile. And in business and strategic IT consulting and systems integration, we will focus where discretionary spending will continue, such as advisory services and cloud, cybersecurity and responsible use of AI. Our SI&C value proposition provides clients with the actionable advice and implementation capabilities they need to realize business value. For CGI, SI&C provides a client entry point, which creates future opportunities to deliver CGI's full range of services. Across our portfolio of services, our business plan also incorporates investments to further our innovation agenda, particularly in AI and GenAI, in line with our previously announced $1 billion AI investment. CGI remains well positioned globally as a leading trusted partner to help clients on an end-to-end basis from defining their strategies to implementing AI-powered platforms and solutions. Our pipeline of AI opportunities continues to grow, particularly for data consulting, cloud migration, proof-of-concepts and targeted use case implementation that drive business outcomes. Examples of recent awards leveraging AI includes the Government of Canada selected CGI to develop and deploy a virtual assistant tool to help clear a backlog of over 200,000 payroll cases thereby reducing processing time and improving user experience. UK's network rail expanded their proof-of-concept for CGI's machine vision IP to enhance their operational efficiency and continuous asset monitoring. And a clean energy technology company in the US selected CGI to build a data-driven analytics platform using AI and machine learning for proactive plant monitoring and optimization. Our experts remain engaged in government initiatives around the world to reinforce CGI's commitment to responsible and ethical AI practices. In fact, during Q4, CGI signed the European Commission's AI Act Pledge to help shape the digital future of Europe. Finally, our fiscal 2024 business plan includes continued investment in M&A to accelerate our depth and breadth and geographic segments. The M&A environment remains more favorable as macroeconomic and geopolitical dynamics continue to reshape the consolidation activities within the IT services industry. We are in active dialogue with a larger number of merger targets at all stages of our pipeline. And as always, we will be disciplined to make sure that all CGI mergers will be accretive to each of our stakeholders. In closing, clients across industries continue to invest in the monetization and optimization of the technology in order to transform their business value chains as well as their operating volumes. CGI remains well positioned as one of the few leading global firms with the scale, reach, insights and capabilities to help clients deliver the tangible business outcomes they require from their digital strategy investments. Our strong performance in fiscal 2024, combined with our resilience as a company and our proven build and buy growth strategy underpinned our plan for delivering profitable growth in the year ahead. Thank you for your continued interest and support. Let's go to the question, Kevin.
Kevin Linder: Thank you, Francois. Joelle, we can now poll for questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from Richard Tse with National Bank Financial. Your line is now open.
Richard Tse: Yes, thank you. With respect to your press release, you had a statement in there that seems to kind of emphasize acquisitions a bit more. That's sort of my read. Is it fair to say that you'll be more active in the next 12 months than the last 12 months when it comes to deploying capital on acquisitions here.
Francois Boulanger: Like I said, we have -- we -- the pipeline is pretty full on the M&A side. We are talking with a larger number of prospects. So it's going well on that side. But again, closing them, it's a different story. We need to agree on the price. And it needs to make some sense for us. So like I'm saying, we have a great pipeline. We are working with several different targets. But will we come to an agreement with that, that's still in the making. But we're pretty positive on that side.
Richard Tse: Okay. And then with respect to AI, when it comes to your pipeline, what's the mix of business that has aidings or GenAI tied to it? And how would that compare to like the prior year here?
Francois Boulanger: You heard about the proof-of-concept that we did and some of the mandates that we received, like example, with the government of, the federal government with the payroll cases. We have more and more of these proof-of-concept. And also we are using more and more AI internally also for our managed services. So that's also something we're working on. And on the IP side, we are using more and more GenAI on our IP services. So it's increasing naturally year versus last year and the expectation and that will continue in the future.
Richard Tse: Okay. And then last one for me. As GenAI does scale, what do you do in terms of kind of retraining the workforce or in your hiring practices? Just trying to understand how that sort of labor market will shift and how you'll sort of get ready ahead of that wave here.
Francois Boulanger: Yes. If you remember last year, I know George announced, and it's already now a year in the making in our $1 billion of investment in AI. And that $1 billion of investment was also to train our people on these tools. So that's going pretty well. We had some basic training for all the members, all the CGI partners in CGI, but we had also more in-depth training for more technical training for our developers and programmers in the company. So that's going well and that will continue in the future. And naturally, on the hiring side, naturally, we are hiring people with the right skills on the AI side. So no problem on this side.
Richard Tse: Okay. Thank you.
Operator: Your next question comes from Divya Goyal with Scotiabank. Your line is now open.
Divya Goyal: Good morning, everyone.
Francois Boulanger: Hi, Divya.
Divya Goyal: Francois or maybe Steve either or if you could provide a little bit more color on the bookings for this specific quarter. I noted there was a slight weakness in the bookings reported this quarter. So just trying to understand what is the broader sentiment that you're seeing across the global enterprises and if there's something to call out for there?
Francois Boulanger: I can start, and Steve, you can give some color also on your side. But as you know, bookings is always lumpy. And we had some contracts that didn't hit the end of the quarter, but we feel that we'll have some good news again in the next couple of weeks. But I'll take the example of CGI Federal. They didn't finish before -- they finished below 100%. And again, this year was a year of election in the US Federal. So naturally we see a tendency these years of election that the administration will slow down some of the procurement to wait to see if their priorities will change. So that's one of the impact that we saw in the quarter. I don't know, Steve, if you have other examples, but always -- you always see some lumpiness in the year.
Steve Perron: Yes. And in the quarter, managed services, the bookings were strong at 120%. The projects, so the SI&C side was 85%, but when you look at it from a last 12-month point of view, it was $100 million. So I think it's better to look at it from -- really from a last 12-month point of view.
Divya Goyal: That's helpful. On this specific discussion on the CGI Federal, that is actually an interesting topic that I'm sure you'll probably get a lot more questions on. But how do you see that part of the business generally evolve. I know in the past when George has commented on this discussion, I understand that the spending picks up early on, slows down closer to election and then slowly picks up again. However, with this new potential government coming in, how do you see things shifting and changing and could the tariffs potentially impact CGI negatively if at all?
Francois Boulanger: No, I don't see that. First of all, as you know, we are dealing with the Federal Government for 40 years. So we know the client. And I would say that every time that a change of government is happening, priorities are changing. And when priorities are changing, guess what, they need IT to achieve their business goals. So the expectation we have is that, no, we don't see any negative even contrary when the new administration will come in, priority will change, and we'll have a lot of discussion on how IT can help them because, as you know, IT is a driver for all of this and they'll need some IT services to help them to achieve their priorities.
Divya Goyal: That's very helpful. Just one last question. The company obviously continues to generate pretty significant revenues from the government sector. Do you see that shifting at all in the near-term? And if you could provide just some color on the banking and financial services sector globally, how are you seeing that? And I'll pass the line with that. Thank you.
Francois Boulanger: Yes. No, government, I think was strong in 2024 and we're seeing it continue to be strong in 2025. A lot of governments across the world are continuing to do some investments and they need to continue. So we see that as positive. On financial sector, it was, Q4 was mostly flat, and we had some reduction at the start of the year, mostly flat now in Q4. With the rates coming down and the interest rates coming down and with the banks that slowed down some of the discretionary expenses in the past, we feel that perhaps we can see a bounce back on that side. Because, again, you cannot retain these investments for a long time. So they need to invest back in their business. And so we are seeing some lights at the end of the tunnel on the financial sector side.
Divya Goyal: Thank you so much.
Operator: Your next question comes from Jerome Dubreuil with Desjardins. Your line is now open.
Jerome Dubreuil: Thanks for taking my questions. First one is on your Microsoft practice. I might be wrong, but and don't hesitate to push back on this, but we don't see you as much in Microsoft partner rankings, relative to peers maybe and this practice looks like it might be quite important in an AI world, especially AI enterprise. If you can maybe start by qualifying the relative strength of your Microsoft practice and if you think this should be a bigger focus going forward?
Francois Boulanger: First of all on Microsoft. Microsoft is a real big partner of ours. And actually, I would say that it's the number one partner for CGI. So we have a lot of consultants having this discussion on Microsoft. And we are using their tools like CoPilot that we deploy and using it on a daily basis. So that's not a problem. For sure, we need to be, as you know, our value, we have an independent value. So we are working with all of them, and we're not just a Microsoft shop, but we are also using other technology like AWS and Google. So it's -- we are capable of offering all these technologies to our clients.
Jerome Dubreuil: That's great. Thanks. Second question on M&A, different angle, but remember last quarter, you commented on your target multiple for acquisitions of around onetime revenue. Maybe if you can clarify this comment. It seems like it contrast maybe a little bit with the comments you've been making on M&A today.
Steve Perron: In terms of the comment on the pricing, you mean, the onetime revenue?
Jerome Dubreuil: Yes, correct. On the target multiples for M&A.
Steve Perron: So, look, if you look just at the recent one we did with CGI Federal, Aeyon, you will see, and you can see it in the financial statement, you will see that we paid more than onetime revenue. So it's all relative to what you're purchasing, obviously. We have paid more than onetime revenue because we believe we can generate a good return on it. So it's all part of the return we can generate on the transaction. But no there's not a fixed limit of onetime revenue at all. In fact, Aeyon proves it differently because we paid more than that.
Francois Boulanger: Yes. And again an example of Aeyon is in the Federal US Federal sector, especially in the defense side. And we thought that it was a great acquisition and we see a lot of growth on that side and a lot of capabilities. So we were ready to pay more. And we're still thinking it will be accretive to all stakeholders of the company.
Jerome Dubreuil: Yes, makes sense.
Francois Boulanger: Thank you.
Operator: Your next question comes from Stephanie Price with CIBC. Your line is now open.
Stephanie Price: Good morning.
Francois Boulanger: Hi, Stephanie.
Stephanie Price: Looking ahead to fiscal '25. Hi. Peers have been guiding to kind of a continuation of the current demand environment. Is this reasonable based on what you're hearing from clients? It sounds like maybe you're seeing a few green shoots here. How should we think about the demand environment evolving over 2025?
Francois Boulanger: We don't see necessarily material changes yet on the environment versus what we saw in the last quarter. I think managed services is still very strong. We have and I had a lot of discussion with CEOs across the world that they are interested about finding ways to have some cost savings. So that still continue to be pretty strong on that side. But on the, as you know, on the business consulting, a bit like Steve alluded, a little bit still soft on the SI&C especially in the business consulting. So that's where we still see that for now, the environment or the demand environment, it can still be a bit soft on the business consulting. So we'll be naturally close to it, but on the managed services, that continued to be pretty strong.
Stephanie Price: That makes sense. And then maybe you could talk a little bit about the US Commercial and State Government. It looks like the book-to-bill was 100% of both the quarter and the year. How should we think about what's going on in that vertical?
Francois Boulanger: A lot of discussion and we have large potential deals with especially on the state and local side that, again, it's a question of timing. So we have a lot of discussion. We have a lot of bids happening, but the timing of when closing them can be lumpy. And so I'm not nervous necessarily about that. And I think we'll -- you'll see in the future some bounce back on that side. Same thing a bit on the financial sector. We have a big financial sector in the US commercial. And again like I was saying it was soft a bit on the discretionary expenses side. So now like I was saying with the rates -- interest rates going down, we think that the financial sector will start again to buy IT services in the future.
Stephanie Price: Perfect. Thank you very much.
Operator: Your next question comes from Surinder Thind with Jefferies. Your line is now open.
Surinder Thind: Thank you. I'd like to touch base on just the continued softness in the discretionary spend. Just any incremental color that you can provide there? I know that you mentioned that within the SI&C that bookings can be quite lumpy. But when I actually look at the absolute dollar value, it's below anything that you guys booked even during the pandemic. So just trying to understand what's exactly going on in that line item.
Francois Boulanger: Well, I think it's two things. Like I was saying in the financial sector, where we're pretty strong in business consulting side. They slowed down in the last two years, right, with the interest rate going up. So that had an impact to us, especially example in Europe. We're pretty strong or stronger in business consulting. We saw that some slowdown on the financial sector on the business consulting. So that's really where it's coming from. And we think that we are at the end of it with especially in the financial sector, but we need to see in the next couple of quarters. But it's really, I would say, it's the environment. And we're not the only one that you see that elsewhere that the business -- the business consulting side can be soft. So I don't think we are different than the rest of the industry and we'll see if it's coming back pretty soon.
Surinder Thind: And then as a follow-up here, when we think about the business model and kind of what's happened in this cycle, there has been a lot more, I would say, client focus on managing costs. Obviously, that's helped the managed services side. I guess it's been a bit more challenging for the SI&C side of the equation. Given your more onshore type delivery model, if we remain in this current soft environment, is there a risk that we see below industry growth in that line item given that your competitors arguably have a broader global delivery or a lower cost footprint.
Francois Boulanger: No, I don't, not at all. First of all, we have a pretty large footprint in APAC and Asia Pacific. So we have no problem at all to take new managed services and delivering from Asia Pac, and we have some several ones signed in the last year. So that continue to be in our offshore and global delivery model is pretty resilient. And so we don't have any problem with that. But we still think that having our proximity model is helping to be close to our clients and having the right relationship with our clients. So I don't think and I don't see any issue with our model.
Surinder Thind: Okay. That's helpful. And then -- and the final question here, perhaps, following up on some of the earlier commentary around the acquisitions. At what point do you perhaps evaluate the target return on investment that you need in the sense that, is it a fixed number here that from an absolute perspective or when you kind of think about others in the space that have been a lot more active. Is that something you need to be cognizant of as you try to perhaps build more capabilities or even if it's acquire more capabilities, whether it be in the AI space or anything like that.
Francois Boulanger: I'll start and Steve perhaps you can put some more color. But for sure, we always have been disciplined in our acquisition and it needs to be accretive, like I said, for all of our stakeholders. So that's why we won't buy to buy something, but we need to believe that it will bring a return to the stakeholders like I said. And so financially, but also for the client, existing clients and new clients. So I don't know, Steve, on the financial side.
Steve Perron: Yeah. Just when we look at acquisition, yes, there is a return, but there is also the culture. We want to make sure that when we do a deal, and we like to say that one plus one equals three. We want the merger to make sense and to generate more than the standalone entities. So that's the goal. And it's not only a financial element, obviously, we're looking a lot at the culture of the company to make sure that it would match with CGI and it would be well integrated because when you're paying for something, you want to make sure that you're going to get ultimately, the one plus one equal three. So it's not only financial, it's a mix of elements. And we're, as Francois mentioned, really, really diligent. We want to make sure that the acquisition will benefit all stakeholders.
Surinder Thind: Thank you.
Steve Perron: Thank you.
Operator: Your next question comes from Steven Li with Raymond James. Your line is now open.
Steven Li: Thank you. Hey, Francois. Hey, Steve. Hi. First question is on Canadian margins. It was down quite a bit year-over-year. Anything changing there? And can we rebound this year?
Francois Boulanger: Yes, I think we needed to do some adjustment in Q4. So we had some a bit of utilization challenges that we tackle. And so I would say that you can expect some bounce back in the future.
Steven Li: Okay. Perfect. And, Francois, under Trump administration, what is the puts and takes on some of your larger contract vehicles like the EPA? Is it too early to tell or where can you see some offsets?
Francois Boulanger: Too early to tell. And again I'll go back Steven to the first comment I had. When you have change in the politics side, it will change naturally some of the priorities that they have. But we are mostly in all the agencies at the federal government, civilian side and on the defense side. So depending on the priorities, we will adjust properly. But we see that like I was saying change of -- mostly change of priorities and more work for us. So I see that as an opportunity.
Steven Li: Got it. And then on the dividend, is there any formal dividend policy set at this point like growing it with free cash flow every year?
Steve Perron: No. Look, as you well know, the dividend, it's the responsibility ultimately of the Board. Obviously, we started issuing a dividend because the Board understand the value for some shareholders. And what we can say is that we will review diligently each quarter, the dividend, first of all, the declaration and also the amount and that would be done diligently. But let's remember that our priorities are in terms of cash allocation is really on growth and growth investment in the business and also in accretive M&A and we also want to continue to be active on our share repurchase program. So but I can -- we can confirm that the Board obviously value and understand well the value of the dividend for the shareholders.
Steven Li: Got it. And then a quick one. Did you say how much AI bookings was during the quarter? I think I missed that.
Francois Boulanger: No. We didn't put AI bookings. Again, it's difficult to understand how much booking we have. We're using AI for most -- more and more of our projects. I think that the number of projects that we're using AI went up by another 10% this quarter. So and we're using it in managed services and in the SI&C. So we don't have necessarily a number of bookings that we can give.
Steven Li: Got it. Perfect. Thank you.
Francois Boulanger: Thanks.
Operator: Your next question comes from Thanos Moschopoulos with BMO Capital Markets. Your line is now open.
Thanos Moschopoulos: Hi. Good morning.
Francois Boulanger: Hi, Thanos.
Thanos Moschopoulos: First of all, maybe expanding on the last point. Can you comment just in terms of maybe some of the specific ways that you're using AI internally and the runway in terms of what that could mean for efficiency and margins. I mean has it been mostly around cogeneration, around automating client support or what are some of the early ways you've been using it?
Francois Boulanger: Yes. Well, we're using it naturally in the -- our managed services with machine learning and to optimize some of our processes, IT processes. So that's bringing naturally some cost savings that we're sharing with the clients. So that's one aspect. In our IP, we are also using more and more of our AI to do some development like you were saying to do some testing also. So that's another way we're using AI. And I am saying we have more and more proof-of-concept or like I was giving the example in the speech with clients, specifically where we're putting in place some AI to help them in their own automation or monitoring of asset, for example. So it's all area, but and we are also using, Steve is looking at it, example on the financial, on this finance department and the HR and the internal processes. So see how we can reduce the cost.
Thanos Moschopoulos: Great. And as we think about margins heading into 2025. What are some of the puts and takes you may call out. So on the one hand, your managed services mix is increasing, which should be helpful, I would think, for margins. On the other hand, SI&C is being impacted by lighter utilization. So let's say if the spending environment remains status quo, barring an uptick. I mean how would you think about your opportunities on the margin front?
Francois Boulanger: I think when you're looking at it, you saw that in Q4, we're in some region in Europe, the margin is a bit weaker than the average of the company. So we still think there we can have some improvement year-over-year. So we're working with the teams to see how we can improve the margin there. So I'm positive on the margin for next year. But naturally, it depends also where the SI&C will go. But I think we are capable of improving the margin if everything is going well.
Thanos Moschopoulos: Great. I'll pass the line. Thank you.
Francois Boulanger: Thanks.
Steve Perron: Thank you.
Operator: Your next question comes from Paul Treiber with RBC Capital Markets. Your line is now open.
Paul Treiber: Thanks very much and good morning. Just wanted to touch on M&A and the M&A environment. You mentioned it's more favorable. I was hoping if you can elaborate on that. Does that reflect the soft discretionary environment opening up potential opportunities, or is there something else that's helping the environment here?
Francois Boulanger: For sure like we know with the SI&C that is a bit softer. It's putting pressure to some of these companies. And so some of them needs to do something and that's why we have perhaps more discussion than we had in the past. So with this environment that we still think it can be continue from the next couple of quarters. We see that as an opportunity to have this discussion. And some of this discussion was discussion we had in the past. And actually, we were not agreeing on example on the price. And now we have new discussion with the same targets and the prices are more reasonable, if I can say. So that's the kind of market environment that we're seeing in the M&A side. And we think that this will continue for some future quarters.
Paul Treiber: Secondly, just regarding GenAI, just hoping if you can provide update on what you're hearing from customers in terms of the impact of GenAI on purchasing decisions. It seems like companies are doing a lot of testing and evaluation of GenAI. Has it changed the -- their willingness to purchase from vendors from IT services? Are you seeing a shift to more willingness to try to build homegrown or internal solutions and also just where are they from a testing point of view? Are they moving past testing and starting to make deployments?
Francois Boulanger: No, it's not at all. They need us to do these proof-of-concept, this testing. They need us to prepare their data to be capable of using the right way of AI. And they need our capabilities and our knowledge about these two. So it's really more a driver of future growth for us because, again, it's -- they need people with the right technology and the right expertise and we have that. So that's for me more an opportunity to grow in the future than anything else.
Paul Treiber: Okay. Thanks for taking the question.
Francois Boulanger: And that's what we're seeing at least now in the pipeline and all that.
Operator: Your next question comes from Robert Young with Canaccord Genuity. Your line is now open.
Robert Young: Good morning. Thanks for taking the question. Another M&A question, I also noted maybe a slightly higher priority on M&A in the materials and the monologue. And so maybe just Francois under your tenure as CEO, do you expect to put more emphasis on M&A? Is there going to -- do you expect to have more intensity under your tenure or -- I understand the pipeline is still very strong and active. I understand that you're going to have similar discipline and I understand that the valuations are likely a little more positive, but do you expect to be more -- put more emphasis there?
Francois Boulanger: Our strategy was always the build-and-buy strategy and grow 50% by organic and 50% by acquisition. So it's always have been in the forefront in our strategy. So, yes, I'll put a lot of focus on this. And, yes, we think that the environment is pretty good for M&A. So we will be as active as possible on that side. But at the same time, we will stay disciplined, and we won't buy just for buying. We need to buy the right one. But again like Steve was saying, Aeyon, we were ready to buy attrition price because we thought it was the right acquisition and we'll never be shy to pay a higher price if it's making sense for us.
Robert Young: Okay. And then in the past, I think my sense has been that you've avoided large acquisitions where there is a large infrastructure component. I think that was because of sensitivity around the impact to your valuation. It feels like that corner of the market has a much better valuation given AI. And so is that something that you would continue to avoid? Or is that something you'd be more willing to look at?
Francois Boulanger: Sorry, I missed the start, you're saying on the AI side, you're saying?
Robert Young: In the past, my understanding is that you've avoided some larger acquisitions because of a large infrastructure component like data centers, et cetera. And now that that's a more highly valuable part of the market. I'm just curious if that's something that you would consider or is that still something that you would avoid? Or am I just wrong in that assumption?
Francois Boulanger: Bob, pure infra, we would not necessarily be interested about it. We have some infrastructure business. We still have some, I would say, 10% of our business is infrastructure. But buying infrastructure business only, that's not our interest. If we have a company where they have some infra, we won't be shy to look at it, but we would not buy infrastructure pure business, no interest on that side.
Robert Young: Okay. And then last one, just a quick one. Looking back to the last time the Trump administration came in. I remember there was a lot of pressure on H1B, and your onshore and modeling benefited from that? Like do you think of that as something might repeat itself? Or are you thinking about your relative on-share offshore mix how that might change and then I'll pass the line.
Francois Boulanger: On Federal side, if I'm talking the federal business it's --
Steve Perron: It's onshore.
Francois Boulanger: It's onshore. It's 100% delivered onshore. And we are also using some near-shore activities or a region like Lafayette like Southwest Virginia. So that's our model since decades to deliver especially on the Federal Government side, onshore or nearshore, but in the US. So we didn't use offshore for that aspect of the business.
Robert Young: So then that would be a positive for you, right?
Francois Boulanger: Yes, for sure.
Robert Young: Okay. Thank you.
Steve Perron: Yes, our metro market model, as you mentioned, and the delivery model we have at CGI, obviously, as you said, if it becomes more difficult to use offshore from the US, obviously, for us, our members are citizens of the US. And our partners are citizen in the US. And obviously it's going to be, for us, it won't create any issues.
Robert Young: Okay, thanks. .
Francois Boulanger: Thank you.
Operator: Next question comes from Suthan Sukumar with Stifel. Your line is now open.
Suthan Sukumar: Good morning, gents.
Francois Boulanger: Suthan?
Suthan Sukumar: One question. Yes. Good morning, gents. One question for me is on your client pipeline. I think you noted earlier in the remarks that it is up over 20% for next year across all sectors. And it seems like your mix of net new business seems to be picking up as well year-over-year. Can you speak a little bit about what's underscoring that? What verticals and capabilities are you seeing success on the new business side? And who are you displacing?
Francois Boulanger: Who is we're displacing, I think, we're competing against all the major players. So as you know, so sometimes it can be one or the other. So we don't have necessarily one in particular that we're displacing. As for new business, you're right. Pretty good in the new business. And I think we'll -- it's a focus that we're trying to do more and more to win in new clients. And we think that example, as you know, we won a big contract last year with Circle K on the retail side. And we continue to see retail as one area where we can win more new business because, again, they need some cost savings and ways of reducing their cost structure. And that's what we did there and we can showcase that to other clients. So that's our area. I think financial sector will still be pretty active on the managed services side. And so we are talking with existing but also new clients on the financial sector side to see how we can showcase our managed services and our offshore capabilities.
Suthan Sukumar: Okay. Great. And one quick one for me. On SI&C, it's obviously still soft, but on a full year basis, I think it looks relatively more resilient than some of your peers. Can you speak a little bit about what changes are you seeing in the discretionary demand picture now versus maybe a year ago? Any new pockets of strength of weaknesses that you're saying?
Francois Boulanger: Well, I would say on the strength side, for sure, AI is a place where we have a lot of consulting and ask from clients help them on the AI side. So that's a place where we are seeing some growth. And we think that we will continue to see some growth on that side. Other places like I was alluding in my speech, when we talk about cybersecurity, for example, is another place where still a lot of demand on the business consulting side how to help them with all the threats that we're seeing in the world.
Suthan Sukumar: Okay. Great. Thank you for taking my questions. I'll pass the line.
Operator: There are no further questions at this time. I will now turn the call over to Kevin for closing remarks.
Kevin Linder: Thank you, Joelle, and thanks everyone for participating. As a reminder, a replay of this call will be available either via our webcast or by dialing 1-888-660-6264 and using the passcode 25981. As well a podcast of this call will be available for download within a few hours. Follow-up questions can be directed to me at 1-905-973-8363. Thanks again, everyone, and look forward to speaking soon.
Francois Boulanger: Thank you.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.